Stanislas De Gramont: Good morning, ladies and gentlemen. Welcome to this conference for the presentation of Groupe SEB 2024 full year results. I'm Stanislas de Gramont. I'm the CEO of the company, and I will be doing this presentation together with Olivier Casanova, our Chief Financial Officer. I'll pass this one. Right. We'll start with a review of the highlights of the key elements, the key events that happened in 2024. It has been a very rich year in terms of pursuing our strategic construction of the group with a few elements that illustrate and I highlight that. We reinforced our positions in the Professional Culinary equipment with the acquisition of Sofilac with Charvet and Lacanche brands back in Q1 last year. We've announced the opening of professional hub -- of a hub in China for Professional Coffee in Shaoxing. We have also announced the opening of a refurbishment center in [indiscernible] in France to prepare for the development of the second-hand products in the future. We've expanded our geographical coverage in the small domestic appliance and cookware business in Saudi Arabia, doing a joint venture with our historical partner. We've made inroads in expanding production of versatile vacuum cleaners in France -- in Vernon, in France. And then on less business related topics, we've offered our employees an employee share ownership program that had a very high subscription of 28%. We have confirmed and shared our ESG 2030 strategy and roadmap back in December with the financial community, and that strategy has been validated by SBTi on our net-zero trajectory for 2030 and 2030  2050, sorry. And last but not least, we had -- we have announced back in January in '25, the first closed loop aluminum pans recycling program that is starting in France now. So beyond and over those events, it has been a rich year in 2024. It has been a year characterized by a sustained growth in kitchen, in small domestic equipment. First, the Consumer business has been buoyant, 9% growth outside of China, 6% growth including China. Professional has had a pretty decent year considering the very high comps of 2023 with an underlying market of 7% growth when it comes to the recurring activities. And we have confirmed our operating results achievement with a growth over 10% of our operating profit, leading to an operating margin of 9.7%. When I look at the financial highlights, and it will be one of the topics and the focus points of this presentation, we've already shared the 5% organic growth back in January, reaching a record high, EUR 8.266 billion. We confirmed an operating profit of EUR 802 million, per in line with I think the consensus on our guidance, 10.5% increase on last year. 9.7% operating margin, I said that. As far as net profit is concerned, we have EUR 230 million net profit as group share. We've adjusted with the fine from the competition authorities in France that would come out at EUR 422 million against EUR 386 million last year. Our main debt is slightly increasing at EUR 1.9 billion with a stable leverage of 1.8x EBITDA. And we will propose at our general meeting in May to serve a dividend of EUR 2.8 per share, that is a 6.9% increase versus last year. I'll hand over to Olivier to take us through the details of these numbers.
Olivier Casanova: Thank you, Stanislas. So let's move to sales first, and we will proceed rapidly, because we already presented the main elements back at the end of January. So first, our total revenue reaches EUR 8,266 billion showing a reported growth of 3.2%. This is made of organic growth of 5%, very robust organic growth; a negative currency effect, I will come back to that; and a slight scope effect, which is mostly due to the acquisition of Sofilac. Here, you can see the details of the revenue of the currency effect. First element, it's EUR 205 million for the full year, which is half of the impact in 2023. It's been reducing, as you can see in the box, let's say quarter over quarter. The vast majority of this impact, of course, is in emerge -- some emerging markets, 4 in particular: in Turkey, in Russia, in Argentina and in Egypt. And you know that for -- in these countries, we have the ability to pass price increases to compensate for the devaluation of these currencies. And then the last, let's say, major impact comes from China, with a small decrease of the CNY against the euro of only 1.7%, but of course it's applied on a large turnover, and this explains the scale of the impact. So by division, by business activity, you can see that we had robust sales growth of 6.3% like for like in Consumer, and a year of consolidation at high levels on Professional, as pointed out by Stanislas. So let's start with Professional, a year of consolidation on high level. I recall that we grew by 27% in 2023. So we're clearly above, let's say, the long-term trend line. The slight decrease is due principally to a lower level of deliveries on 2 very large contract and the recurring business was up by 7%, so in line with, let's say, the -term trend that we pointed out, somewhere between 5% and 10%. It was also a year of strategic advances, 2 important news pointed out by Stanislas. The first one is we announced the start of the construction of a new hub in China, which is both a plant but also an R&D center, a procurement center and a marketing center. And also 2 important developments in Professional Culinary: the first one in '24, the acquisition of Sofilac; and more recently, the acquisition of La Brigade de Buyer. So moving on to Consumer. As I pointed out, we operated -- we achieved 6.3% despite the fact that we operate in a very complex geopolitical and macroeconomic environment. I think everyone is aware of that. Within that general context, it's worth pointing out that the small domestic equipment market remains well oriented, remains buoyant overall, and this is driven by innovation, and we'll come back to this in more details. So overall, strong organic growth of 6% and even 9% excluding China. You can see that this was the -- let's say, the fourth quarter of last year was the seventh consecutive quarter of organic growth exceeding 5% in the Consumer division. Let's look now at the 3 main geographic regions. So starting with EMEA. We had a return to dynamic growth in Western Europe with organic growth of 4.8%. This is widespread with particular strong growth in France, in Southern Europe, in Belgium and the Netherlands and in the Nordic countries. This good growth momentum is due in particular to cookware, the cookware division, but also the roll-out of innovation in small domestic appliances. We're talking electrical cooking, floor care and also full auto. This was complemented by strong organic growth exceeding 20%, 22.5% to be precise, in Central and Eastern Europe. In these regions, the markets remain buoyant. And we had also the benefit of successful product innovations, again in versatile vacuum cleaners, in oil-less fryers, garment steamers, full auto, cookware, et cetera. And in this region, we had also an important strategic development. We acquired the majority of our distributor in Saudi Arabia, and we think there are, let's say, very promising prospects in this country in the years to come. Maybe one, let's say, point of detail on this growth to the first element on the left-hand side, as you can see, our top 20 markets are, in fact, growing last year and 8 of them are growing at more than 10% and 8 are growing at more than 5%. So it shows that the growth was strong and the growth was also widespread in terms of geography. And then on the right-hand side, we're pointing out that 50% of that growth is due to innovations, and you see the pictures of some of these products that grew particularly strongly last year. But also the other, let's say, important point to note is that 50% actually came from the core business. And this is due to, let's say, the continuous stream of new product that we are introducing and which is supporting, let's say, the growth in our core business. In the Americas, we had a solid performance in North America. The market itself is slow, but we consolidated our leadership position in cookware and we had renewed growth in linen care, thanks in particular to the innovation, which is leading to trade up. We had also new customer listings and range extension. In Mexico, the market remains very well oriented and we had continued market share gains in cookware, full auto and fans in particular. And we extended also our ranges in new areas, in particular in the field of electrical cooking and floor care. And then in South America, we had very strong performance in Colombia with double-digit growth excluding fans, and a positive performance in Brazil, particularly driven by fan sales in H1 with the El Nino impact. Moving on to Asia now. So overall, we had flat performance in Asia. We have renewed with growth in Asia, excluding China, up 2% for the year. This is due in particular to good performance in Australia, Vietnam and Malaysia. And as we pointed out, the -- let's say, situation remains challenging in Japan and South Korea, which are suffering both from weak consumer confidence and also weak currency. In China, Supor confirmed its leadership. We are outperforming the market. The market remains, let's say, relatively weak with weak consumer confidence and a relatively promotional market. But in that market, we continue to outperform. And on the next slide, we are pointing out, in fact, the 2 main reasons for this outperformance. On the left-hand side, it's the strength of our innovation pipeline. As you can see, we are introducing exciting new product in existing categories such as wok, with the titanium wok, the infrared rice cooker in the middle, or blenders. But we are also continuing to expand into new categories. You have a water dispenser on the right-hand side. And also on the left, products which are addressing the new, let's say, nomadic needs. On the right-hand side, the second reason for this outperformance is the excellence in online marketing, especially with the new channels of social commerce. And you can see here that we had in 2024 more than 2,000 live streams per week, and we are using over 3,000 influencers to support, let's say, our marketing activation. So these are the 2 main reasons which explain the very good performance of Supor in this market. So overall, if I summarize, we achieved a very solid 10% growth in EMEA in 2024 and 9.4% in the Americas, and a stable performance in Asia. So let's look now at the financials. So as you heard, EUR 802 million of ORfA, which is up 10% on last year, margin of 9.7%, up 60 basis points on last year. And this is due in particular to a very strong fourth quarter. We were up against a very tough comparison last year with a very high margin, but we managed to surpass that last year's level at 14.1% operating margin in Q4. So let's take a look now at the ORfA bridge, starting with the first, let's say, few elements. The first big contributor to the increase in profit is, of course, volumes. In Consumer, you can see here that we had EUR 169 million coming from increased volumes in many categories: cookware, of course, but also electrical cooking, floor care, linen care, food prep to name but a few. I will then comment on the EUR 135 million, which is the reduction in our cost of goods sold. This is coming from several factors. The first one is the carryover from the 2023 reductions, which -- and we had the benefit of this for the full year, but also further cost reductions in '24 in raw material and finished goods sourcing. We had also the benefit from the volume effect in increased cost absorption -- fixed cost absorption. And this -- both of these elements more than compensated the 2 negatives, one which higher freight cost, shipping cost and the second one, of course, salary inflation. And this enabled us -- this cost reduction enabled us to reinvest in price reduction to drive the volume. This is a natural cycle. You remember that in 2022, we pushed through price increases to compensate for the cost increase. And naturally, when costs are coming down, we are reinvesting part of this cost decrease into price reduction for customers to drive volume. And we saw this negative impact in the price mix, which is negative EUR 20 million. It's partly offset, of course, by a positive mix effect. Now let's look at the other line -- the other elements of the bridge. You can see that we had a slight increase in our growth drivers. This is, of course, to sustain the volume development through enhanced innovation and product development, but also activation. We had also slightly higher commercial expenses and in fact, a stable year-on-year G&A, which is showing, in fact, the cost discipline that we continue to apply to the business. And then finally, EUR 120 million of negative currency effect, which is, in fact, largely almost 90% is in the emerging markets that I talked about earlier. And as you remember, we have an ability to compensate through price increases the majority of this impact. A quick, let's say, comment on our growth drivers. You can see that we moved from 10.7% of sales in 2023 to 10.9%, so a slight increase to support both our product innovation pipeline and also an increased activation, in particular to support our online sales and our D2C online sales. So to conclude on the profit and loss account, you can see here that we delivered a net profit of EUR 232 million. This, of course, includes the impact of the decision that we took to provision the entire amount of the fine from the French competition authorities. You are aware, I think, that we have filed an appeal in the French court to request, in fact, the cancellation of this fine, but we have decided to provision for the time being the entire amount. If you restate for this exceptional, let's say, element, we delivered a net profit of EUR 422 million, which was up on the EUR 386 million of last year. Let's take a look now at our working capital. So the working capital, as we explained I think in -- during our H1 results call, we are in the upper end of the 15% to 17% range. This is explained largely by the impact of the Red Sea crisis, which is increasing the amount of stock on water. This represents approximately EUR 80 million of impact, so 1 percentage point of sales. And we had also, of course, a strong Q4, and this is leading to slightly higher receivables than the year before. If you adjust for these 2 elements, we are well below, let's say, the 16% average of the last few years. You can see here the range that we are talking about, and this is a graphic illustration of the evolution over the last few years. Let's take a look now at cash flow -- free cash flow generation. So the first element is what we delivered, over EUR 1 billion of EBITDA. We had, of course, the negative impact from working capital variation. This working capital impact is, let's say, heightened by the fact that the position at the end of 2023 was below, in fact, our target range. CapEx is in line more or less with last year. It reflects the start of the Shaoxing investment on Professional Coffee and also the finalization of the investment in our new logistics platform for cookware in Europe. You can see also a slight increase in cost of financial debt. This is due to the impact of the refinancing that we have done at the end of 2023 and in 2024. And this leads to a free cash flow generation of EUR 260 million. If you, let's say, adjust for the working capital variation, excluding the working capital variation, we are around EUR 500 million and above, in fact, the average of the last 5 years. So this translates into this bridge of net debt. So I commented, of course, on the free cash flow generation. The -- you can see here the impact of the dividend distribution, the EUR 150 million of SEB SA shareholder distribution, but also the impact of the distribution to the minority shareholders of Supor. The acquisition, let's say, amount of EUR 139 million is largely, of course, the acquisition of Sofilac and to a lower extent the acquisition of our distribution partner in Saudi Arabia. And then finally, you have the impact of the buyback of shares that we carried out at the beginning of 2024 to take advantage of the exit of Peugeot Invest. And this leads to a net debt of EUR 1,926 million, which represents a stable net debt-to-EBITDA ratio of 1.8x, in line with last year and totally, let's say, within our comfort zone, below 2x. One final comment on our balance sheet structure. So we have a very strong balance sheet with a lot of liquidity. You can see here that we have in excess of EUR 1 billion of cash on balance sheet. We have continued to strengthen our financing structure, in particular with 2 new refinancing: one banking facility of nearly EUR 500 million and a 12-year private placement of EUR 150 million, which was the longest financing ever realized by Group SEB and demonstrating, of course, the confidence of lenders in the group. So if we take into account the cash on balance sheet plus the EUR 1.5 billion of undrawn but committed credit lines, we have available liquidity of EUR 2.5 billion. Finally, you can see here, we are proposing a dividend distribution of EUR 2.8 per share, which is up 6.9% on last year. And over the last 15 years, this translates into around 7.5% compounded annual growth rate in our dividends. Now I will hand over to -- back to Stanislas to cover our major operational achievements.
Stanislas De Gramont: Merci, Olivier. Thank you. Sorry, my voice is a bit cluttered because of a cold I caught. But anyway, I'll take you in the next 15, 20 minutes through what has made this year 2024 successful and what's ahead of us for 2025, in particular in terms of new products innovation. I'll start with the Consumer business, and I'll start with our mission. Our mission is to make consumers' everyday lives easier and more enjoyable, and contribute to a better living all around the world. And that mission, I think, defines the categories we operate in, and that vision defines what we do in those categories we operate in. And as a matter of fact, you see here that this year, 2024, we've been growing across all categories, driven by innovation and of course, with a star, which is the home cleaning, home care category. But even the more stable or more categories like cookware are growing. You see that categories that we used to say we were a bit tired, linen care, are also very dynamic. And what I'd like to do in the next 15 minutes is to share with you the rationale and what's behind this growth in all those product categories. And I'll start with product families or categories around linen care, personal care and home care, where we have a 3-pronged strategy. The first part is to make sure that the performance of our core range products is secured and is secured through an improvement of the performance of the products, renovations of the product. I'm talking about, of course, irons, steam irons, steam generators. I'm talking about the base vacuuming equipment like canister vacuum cleaners. Then beyond that, we want to support new usages and a focus on promoting multi-equipment. And that is in linen care around garment steamers. In vacuum cleaners, it's around versatile vacuum cleaners. We'll see some examples of that. And last, we are investing in new territories. And the main focus of this year is around washers and it's around spot cleaners. Now let's see some illustrations of that. And I'll start with linen care. Linen care, it's an old category. And we used to hear, yes, but people don't wear shirts any longer and linen fabrics are much less wrinkling than they used to. Therefore, there's less need for linen care. Well, in fact, that's not exactly true. First, we see that our core ranges of steam irons and steam generators still carry some growth, modest but still growing. This is what we call our core business. We are gaining leadership in popularizing the second equipment garment steamers, which are an easy portable solution to handle less fragile or less demanding linen. And we see that within garment steamers, there is room for innovation. We are launching this product Aerosteam, which is a revolution in the garment steamer category. It has -- it combines a garment steamer, but it also has a vacuuming system that placates the linen that sticks the linen on the sole plate so that you can take care of your garment with one hand only. It's a revolutionary product. It has been launched in Q4, and we have great expectations from this product. And last, we see some new categories emerging in a bit broader sense than just linen care as clothes with this spot cleaner. Spot cleaner is a device that you see on the screen here that allows to clean deeply your carpets, your sofas, your -- and we'll see a bit more in a second. Net-net, in this linen care category, we've posted in 2024 a growth of 10%, and that was after an already strong increase in 2024 -- in 2023 of the same 10%. Now let's look at this spot cleaner, and I suggest we go straight to the video. [Presentation]
Stanislas De Gramont: A great product, a product that has been launched in the back end of 2024, and that's going to be a good contributor to the development of the business in 2025. Now, second category is around vacuum cleaners. In vacuum cleaners, you see that we have a large range of versatile vacuum cleaners. And what's interesting is not to have only a blockbuster product. What's interesting is to cover a large range of power and autonomy to serve various consumer needs. So this is what we've been doing in versatile vacuum cleaners with a range that you see on the screen. We have, as I said in my introduction, expanded the production of some of these vacuum cleaners back in France. This is the 14.80 X-Force Flex Rowenta range, very powerful, very, very successful. And this range management, this innovation, these insights, this performance has brought in 2024 a pretty strong growth of 30% outside of China. That is very impressive, but that's not the end of it. That will continue in 2025 because we see that there is continuous progress in this sector. And what's ahead of us in 2025 is the development of this new category of washers. Washers is a brand-new territory and [indiscernible] washers can become just as big as robot vacuum cleaners have become in the years to come. Now washers, we already start with a range of 2 products, X-Clean 4 and X-Clean 10, that have been launched at the back end of 2024. And again, very high-performing products that will be contributors to our success in 2025.
Olivier Casanova: We have a video, I think, on Versatiles.
Stanislas De Gramont: We have a video on Versatile, you're right. So let's see the video on Versatile. Sorry, I skipped the video on Versatiles. Thank you. Let's look at it.
Olivier Casanova: You're right. [Presentation]
Stanislas De Gramont: So very exciting news on Versatile vacuum cleaners, very exciting prospects on washers, and we look forward to a great 2025 in this category as we did in 2024. Moving on to another core category of the group, which is cookware. In cookware, we aim at driving market growth through product innovation, through trading up, through partnerships. We have a longstanding historical partnership with Jamie Oliver in many Anglo-Saxon countries, generating over EUR 50 million in sales recurring every year. We've signed a new partnership with Paul Bocuse during the SIRHA Professional Fair in January this year to create a co-branded ranges Tefal-Bocuse. We are developing our leadership in multi-materials in coatings first, of course, coated aluminum, but also ceramic coatings, but also stainless steels, coated and non-coated. And we are accelerating our geographic expansion with key innovations like the international rollout of Ingenio. If you illustrate that with a few pictures, we work on materials on our main brands, core brands: Tefal, Supor, coated aluminum, ceramics, stainless steel. We also work on the development of our premium cookware range with the WMF brand, with the Lagostina brand, with All-Clad. And we have an expansion of Ingenio that has been continuous that is still growing double digit year-on-year with a strong performance in our historical markets, Japan, France, South Korea, but also acceleration of the international rollout. Net-net, and that's also something really worth noting, what we call mature categories, stable categories. In fact, cookware has grown 10% year-on-year in 2024, and we see that as a great area for business development in the future. One of the biggest category in small domestic appliance is kitchen electrics. And in kitchen electrics, there's a lot of potential for innovation, drawing on local expertise to bring them to a global scale, looking at diversifying cooking methods for healthier eating. There's been a time of steam. There's been a time of infrared. There's need for pressure cooking, and we work on all those opportunities. And also adapting and adjusting to evolving lifestyles, things that we all know, homemade healthy food, time- space- and energy-savings [indiscernible] premium, outdoor and on-the-go consumption are at a premium. And if we start with the star category of electrical cooking in the last 18 months or 2 years or 5 years, we've seen a good growth of over 50% in Continental Europe in 2024, covering 2 sides or 2 parts of the market. The first one is what we call the core business, that business that is established and that is the main bulk of the volumes of the market today: single drawer air fryers, dual drawer air fryers, multi-functional air fryer ovens. But we see some areas of development in the world of silence. Air fryers tend to be very noisy. And as consumers use them more and more often, they tend to be really a burden in the kitchen. So we are developing a range of more silent air fryers. We also see some opportunity for infrared cooking, and that is something that is bringing better regularity, better performance of the cooking. And we also have a new baby on our range, which is the surface air fryer, which allows to cook a large quantity of food, which offers a wide and deep tray that allows to cook stuff that other air fryers cannot help cook with a dual cooking from double heaters from bottom and top. I suggest we look at the video to discover the product. [Presentation]
Stanislas De Gramont: A great product in market now in most of European markets. Beyond electrical cooking, in kitchen electrics, we have blenders, which is one of the top 3 categories worldwide. And blenders, we start from a very different base in usage in Colombia, in Europe, in Mexico, in China. But we see that across all those countries, we see that there are 2 fast-growing trends in blenders. One is around speed and performance and versatility. That's what we call high-speed blenders, which can be heating blenders as well as cold blenders. And nomadic on-the-go blenders where we create a device with detachable bowls that can be carried and can be used as a glass, easy to use, easy to clean, healthy cooking. In this blenders category in EMEA and Americas, we've seen an organic growth over 10% in 2024 in what is for us a very established business line. And again, let's have a look at the newborn in the blender category, which is Blend Up. There's a video there, I think. [Presentation]
Stanislas De Gramont: Great activities, great initiatives in the world of consumers. I could have expanded that for much longer on all the categories and product families we operate in. But this was to give you a flavor and a touch on what we've done and what has driven our performance in 2024 and what's ahead of us for 2025 in terms of product initiatives in the pipeline. Second key part of the group development is the professional business. You remember that we've embarked in this adventure of professional business of equipment back in 2017 with the acquisition of WMF and Schaerer. We started with beverages. We've expanded with the acquisition of Wilbur Curtis in the U.S., La San Marco in Italy 18 months ago, Zummo in Spain. And we have this beverage division where we are covering full auto coffee machines. We're covering traditional and filter coffee machines. We're covering cold beverages and we are leaders in the full auto business and that's the first pillar of our professional strategy. Then a few years ago, we've decided to expand in professional culinary with the acquisition -- of course, we had some historical brands, which are, I was going to say by default, present in professional kitchens Tefal, All-Clad, WMF, HEPP, then we acquire KRAMPOUZ, the [indiscernible]. We acquired Pacojet a couple of years ago, which is a professional emulsifier. Ambassade De Bourgogne and Charvet first quarter last year, and most recently La Brigade de Buyer. So this professional strategy is expanding now in professional culinary and in beverage. And if I start with beverage, the 2 main drivers of our growth, starting from our world leadership position in full auto is to expand geographically and extend our range of professional beverages offering through product launches, new product launches, innovations and coverage of a broad customer base. And to that extent in that way, 2024 has been a remarkable year. As I said -- as we said with Olivier, we have a good performance in our core markets. We're making strong progress on our new territories with relying on both our longstanding customers like 7-Eleven or like in coffee, but also exploring and developing new clients. For those familiar with the Central Europe, Zabka is the biggest convenience store chain in Poland and Central Europe, but also BAKO, also Costa in Germany, Tim Hortons in Saudi Arabia or Oxxo in Mexico, or even 7-Eleven in Taiwan, Zus in Philippines, et cetera. So we have a strategy that is expanding. Yes, our numbers can be affected on a quarter-on-quarter basis by the size of the big deals, but that's the nature of the Professional business. Yet the road to expansion through new categories -- sorry, new customers, new channels and new countries, is well on the way in the Professional business. And as a testimony of that, we have opened and I think we're the first European manufacturer or Western manufacturer to open a full-blown professional equipment hub in China. It's not going to be only production. It's going to be R&D. It's going to be purchasing. It's a big site. It's a EUR 60 million investment to secure a better product coverage and to strengthen primary opposition in the Chinese market. This is going very fast. So we announced it middle of last year. We'll deliver the factory in Q3 this year and start production in Q1 2026. In Professional Culinary. So this is the history of our acquisitions. The most recent one is the acquisition of La Brigade De Buyer. We are extremely excited by this acquisition. Why? Because de Buyer is a great cookware brand. It is French and international. It has strong positions in the Professional Culinary and the premium consumers. It's a sizeable business, EUR 66 million, 219 employees and 3 production sites in France. But it has that unique particularity and specificity to be the closest to the chefs during their training years, during their training experiences in these big schools like Institut Lyfe, Fauchon, Ecole Ducasse, et cetera. [indiscernible] expertise, very, very close relationship with all these schools and the expert knowledge of the shelf culinary journey. And they have a very complimentary product offering with the group on both the professional and semi-professional market. So a great acquisition that I suggest we propose you to discover in video. [Presentation]
Stanislas De Gramont: As you see a very rich year in terms of achievements and initiatives, and some pretty interesting prospects us for what's ahead of us in 2025. 2024 has also been the year of the update or reveal of our new ESG strategy and roadmap that we've shared with this community of investors and analyst back in the middle of December. So we'll only remind you of the key highlights and share with you the performance. So we've set a strategy for the 2024-2030 period focusing on 4 pillars: act for nature, act as a leader in circular economy, act for all, and act responsibly and ethically. We've set ourselves KPIs which are public, which will be found in our short-term and long-term incentives for all the key management -- key managers of the company. And when it comes to 2024 results, we are proud to say that we've achieved most or all our -- most of our targets, starting with the CO2 emissions. CO2 is based on a split between scope 1 and 2, which is our own emissions and scope 3, which is what happens in our suppliers and what happens during the consumption phase of our products. For scope 1 and scope 2, we've set ourselves an ambition to reduce our emissions by 42% between '21 and '30. At the end of 2024, we've already made 18%. So we are well on the way, well on track to achieve that. When it comes to scope 3 emissions, we set ourselves a target of minus 25%. We've done minus 13%, so halfway in 3 years versus 6 years -- 9 years trajectory. So again, we are well on track. The great news also of 2024 for these carbon emissions is that we've received an approval by the SBTi, science-based target initiatives that are new net-zero trajectory for 2050 is approved. That mean we can claim that this strategy and this roadmap is in line with the expectation of the experts in this world. And that has been confirmed by the CDP rating at A minus, which is the same as last year, which is a great achievement when the criteria are every year becoming more demanding. We had also a great year in the circular economy with rate of recycled materials in our products moving from 34% to 48%. Target is 60% in 2030. We are on track on our safety and health at work trajectory, even though '24 is a slight setback versus 2023, but the trajectory 1.0, 0.8, below 0.5 is there. And last but not least, on diversity, we start from 20% of women in the top 200 positions in the group. We've set ourselves on a mission of 32%, and we've achieved 27% in 2024. Now beyond numbers, I think these numbers are the results of our actions. Those actions are around the new injection molding machines in France, in Colombia and China, solar panels in high carbon intensity countries like China or Vietnam. As I mentioned in my introduction, we have opened this refurbishment center in [indiscernible] that will allow us, that will give us an equipment, a tool to be able to refurbish, repair products in our own plants. We are opening our first plan closed loop recycling program in France and that proves to be a very, very attractive and popular for the few first weeks that we've run this program. And of course, this comes with a lot of equipment and tools in energy management and stuff that we deploy to be able to drive and measure the progress we make in these areas. And last but not least, we rarely talk about it. But SEB is also a group that is very engaged and involved in the communities we operate in. Every year we have a charity week that involves a lot of our employees. And last year, we've run our tenth charity week and that has happened in 98 sites around the world. So SEB is a company that is making business, but SEB is also a company that is part of their communities and that takes care of their communities, be it a town, a city, or a region or a country. That was great. Now off with 2024, let's have a chat on the outlook for 2025. Well, the starting point is that we have a solid 2024. We have regular and steady growth on our Consumer business. We have a good level of core business in Professional beyond the calendar effect resulting to large contracts. Our ORfA margin and ORfA is showing a market increase, 10% growth year-on-year. So we are confident in our ability to deliver another year of growth. Yes, we have an uncertain macroeconomic and geopolitical context. You know that our business is very much skewed towards the backend of the year, but we see -- and therefore it's difficult for us to give a quantified or quantitative guidance. And in fact, a vast majority of the last years we haven't given the quantitative guidance for the current share in February. But we see that overall we have buoyant end markets and the catalysts of those markets are linked to good product dynamics, good innovations and we see that our pipeline, not of products that make up, products that are already in the market is rich and that allows us to say confidently that we see another year of organic sales growth and a further increase of our ORfA in 2025. Thank you very much for your attention. Now, Olivier and I will be ready to take all your questions.
Operator: [Operator Instructions] We will take the first question from line of Christophe Chaput from ODDO.
Christophe Chaput: I've got 2 please. The first one is on the 2024 results. So you mentioned a minus EUR 20 million impact on price mix. I know that it is very difficult, but could you give us an order of magnitude of the price impact? I mean, is it minus EUR 70 million in price and EUR 50 million on mix or the situation is much more balanced? So any rough figure, let's say, would be great. And the second one is regarding your guidance for 2025. So you mentioned the growth [indiscernible] obviously probably difficult to commit at this moment of the year on an improvement of the margin in percentage of the sale. But is there some specific headwind or tailwind that we should be aware of that could impact the offer? I mean, on raw material, on freight, on currency or price mix?
Stanislas De Gramont: As usual, a very sharp question. You take the first one. I'll take the second one, Olivier. Just try.
Olivier Casanova: So we are not, let's say, giving precise breakdown. But as usual, we have a positive mix effect, which is let's say, of a similar nature as usual. We had a slightly higher price effect than, let's say, historically for the reasons that I explained earlier, which is that we had a strong decrease in our cost of goods sold. And we reinvested, let's say, a portion of those benefits for customers and this helped us to drive sales growth. We are not going to see exactly the same dynamic in 2025 because in 2025, we are not expecting, let's say, the same decrease in our cost of goods sold. We have seen, let's say, the vast majority of the correction in 2023 and in 2024. And so there should be, let's say, a stronger proportion of positive mix effect in 2025.
Stanislas De Gramont: Fully agree. I think the years of cost deflation is now behind us. We see rather stable cost base. To answer your second question, in 2025, the offer margin I think is early to guide on. I think you will have some what we say is that we will grow sales, we will grow profit. Currencies will have a potentially strong impact on the margin itself because when you have a strong dollar, as a strong yuan, that tends to increase your sales and that tends to put pressure on your cost. So you may land with an operating profit, which is in line of what you're expecting by the margin that is affected by those effects. That said we don't expect massive impact on the offer margin and the trajectory that we mentioned in our Capital Market Day 2 years ago of a growth in organic sales and the growth in operating margin is still valid. So I will not say much more on that, on the guidance, other than we don't see any reason to say that what we said 18 months ago or 2 years ago doesn't apply any longer.
Olivier Casanova: Maybe one compliment on the currencies. As you know we have a strategy to hedge well in advance our exposures, in particular our 2 main short currencies, which is dollar and the Chinese yuan. And in fact, we are extremely well-protected at very healthy levels for 2025. So we expect, in fact minimum, let's say, impact from those currencies, thanks to our very strong hedging. We are seeing some slight, let's say, increase in aluminum prices. But on the other hand, we are probably expecting all on the whole lower shipping cost than we had in 2024. If you remember, there was a spike in the SCFI in 2024 because of the rates, sea crisis and the disturbances. And we are seeing, of course, let's say, a fallback of shipping cost which are leading us to, let's say, expect a slight or positive improvement, positive contribution in our margin in 2025. So on the whole, just to summarize, we are expecting a further increase in our operating profit in 2025 as Stanislas said in line with our trajectory to grow our margin towards 11% in the medium term.
Stanislas De Gramont: Merci. I think my comment on currencies was to say that yes, we're hedged on the profit side, but that may have a mechanical impact on the sales side, the increase of the reported sales and therefore the mechanical impact on the margin percentage. That was my point.
Olivier Casanova: Absolutely. Absolutely.
Stanislas De Gramont: Christophe, did we answer your questions?
Christophe Chaput: Yes, that's very great. Thank you for the 11%. So the 10% threshold, let's say, in a certain extent, the kind of cautiousness from your part at the very beginning of the year.
Stanislas De Gramont: We said that the trajectory we shared is in December, 2023 was 11% and we have no reason to say that this is out of the picture.
Olivier Casanova: We are completely in line with our trajectory. Absolutely. Yes.
Stanislas De Gramont: Exactly. Yes.
Operator: We will take the next question from line of Geoffrey d'Halluin from BNP Paribas.
Geoffrey d'Halluin: I will have 3 questions please. The first one is related to the financial expenses. We've seen a pickup in 2024 compared to last year. You mentioned refinancing impact. So just wondering how do we need to think about financial expenses for 2025. My second question is related to working capital. You suffered in 2024 from a few impacts. You mentioned the Red Sea descriptions, you mentioned higher inventories. I just wanted to know if we can expect a kind of reversal effect into 2025 and basically what's your thoughts in terms of working capital change into 2025? And my last question is related to China. I guess you mentioned, end of January, no change in terms of trading trends compared to what you see in 2024. We are now end of February and just wondering if you see some change in terms of change in the last few weeks especially in the back of the incentive measures for rice cookers by the government?
Stanislas De Gramont: Take the third one. You take the first one.
Olivier Casanova: Okay. Okay.
Stanislas De Gramont: On China, it is very early to quote change in trends. We can say that we have probably more favorable comps in 2025 than we had in 2024. We see that there are some measures from the government. So there is nothing material yet, but probably the sentiment is a bit more positive than it was 6 weeks ago or 3 months ago. Very early to quote a number or to put a number, but that's where we are today. And then, of course, this initiatives from the Chinese government to help the consumption of rice cookers could benefit a company like SEB, which is the leader in rice cookers in China. Olivier, financial expenses?
Olivier Casanova: Yes, I highlighted that financial expenses are increasing. This is due to the increased cost of the new financing which, let's say, the difference between the historic rate that we had on the, let's say, old financing and the new one is around 2.5%. And that's, let's say, explaining the increase. We've seen, let's say, the bulk of our refinancing. We still have EUR 500 million of bond maturing in June. So we'll see how we address that refinancing. But we can expect probably a slight further increase in 2025 as we carry out this new financing. Regarding working capital, I think it's too early to, let's say, predict a reversal. We don't know when supply chains will indeed normalize and how easy it will be to, let's say, go back to the old route through the Suez Canal. So I think for the time being, you should not expect, let's say, a strong benefit from a reversal. We will see if and when it happens.
Operator: [Operator Instructions] We will take the next question from line of Alessandro Cecchini from Equita.
Alessandro Cecchini: The first one actually it's on your seasonality in 2025. So we know that last year, in the first quarter, we had steel Professional business very strong and then the Latam business that was very strong due to the aluminum effect. So I would like to know what is your opinion with these 2 trends? So if you could, I mean, maybe quantify the potential impact, one-off of course negative impact that you will face in the first quarter 2025 due to this kind of adjustments from last year? This is my first question. You said about the steel -- sorry, about incentives in China, is my opinion that the new incentives are still I would say to be defined, to be I would say structured? And then my final question is about ForEx on overall top line, because maybe I am wrong, but if I put, yes, of course, dollar, renminbi, but then we have the valuation of something, emerging markets, et cetera. So I still see it, but maybe I am wrong, at current rates a sort of stability or a slightly negative or around stability in term of ForEx impact for 2025 as a whole for the group. So I was just wondering if this kind of my interpretation is correct.
Stanislas De Gramont: I'll take the first 2, Olivier take the third one. On the Q1 and S1, your assumption on the phasing, on Professional and Latam are completely right. I will not give you a number because that's your job to put a number, but I think you're right. I mean, we are still facing high historical numbers and we are not too concerned about what's going to happen in Q1 just because we know what's behind that. Equally on incentives in China, your assumption is absolutely right. There's a lot of talks. There's not yet anything concrete or material and this is probably what explains my relatively optimistic, yet prudent comment, because when I see the signs, the signs are positive. When I see the facts, the facts are not there yet. So I think we are really ready to take and seize any opportunity or occasion that will come to support rice cookers or any other product category you operate in. We haven't seen yet anything concrete in that matter. Olivier, ForEx?
Olivier Casanova: So on ForEx, I think I saw it's extremely difficult, of course, to predict currencies. I think we all know that. But what we can say is you are right, based on, let's say, the levels today, we have of course continued headwinds in certain markets with, let's say, weak emerging market currencies. But at the same time you are right, we have a positive effect, which will help to offset a portion of the negative effect. So we can expect today probably a lower impact than we had in 2024. But of course, this remains to be confirmed and it's too early to -- I think we are operating in a volatile environment and it's I think going to be difficult to predict the evolution of currencies this year based on, let's say, geopolitical developments.
Alessandro Cecchini: And my last if I understood correctly in term of financial charges, we needed to account for 2025 as slightly higher, both in term of P&L and cash flow because P&L was around EUR 80 million, if I am not wrong, and cashflow was EUR 100 million something. So this is a starting point that we needed to account slightly more financial expenses. It's correct my understanding?
Olivier Casanova: Yes, slight increase.
Stanislas De Gramont: I see a question on the line. So I will take it. From Pascal Girardot, are the current positive trends in the SD, small domestic, equipment markets sustainable given the overall macro and geopolitical context? The answer is definitely yes. The answer is definitely yes, because we've seen through very, very challenging years in most regions. I'm referring to 2021, '22, '23. We've seen years of super inflation. We've seen years of lockdowns. And through those years, if you put aside the hiccups of the supply chain disruptions and stuff, we've seen that consumers consistently keep equipping themselves with more small domestic equipment. And we understand why that is because our product categories serve a very daily usage for consumers, consumers see a high value to those daily usages, and the cost to acquire those equipments remains relatively accessible, even though consumers keep trading up. So for us there is no alarming sign on the geopolitical or economic context that makes it -- that would make us believe that this growth would be undermined by this context. Now I read that Pascal has another question on the phone. Maybe you want to -- can we take the questions on the phone now?
Operator: Sure. We will take the next question from Marie-Line Fort from Bernstein.
Marie-Line Fort: I've got 2 questions concerning the coffee machine, the pro division. I would like to know if you've got any visibility on the recovery of big deals at this stage and at what origin? And the second question is about the last acquisition you made. Do you expect they will have a dilutive impact on 2025 earnings? So any comments on profitability will be welcome.
Stanislas De Gramont: I'll take the first one and Olivier will take the second one. Merci, [Foreign language]. We have a regular flow of big deals in a professional coffee machine. At this stage, there is nothing -- there's a lot of things in the boiling, of course, like as usual, but there is nothing specific or particular that we can share with you. It's too early. What we can say on Professional coffee sales is that the underlying business is growing. It has been growing even in difficult year, last year at around 7% rate. But we know that we have to go through the phasing of a high S1 last year driven by deals. We know that this will fade out in S2, of course. So this is the equation we are in. We cannot share at this stage any big deal that would change the nature of the equation for 2025.
Olivier Casanova: So just one word on, let's say, profitability in Professional. We indicated that by nature, by structure, let's say, the Professional activity tends to have higher margin than Consumer. We have said that Consumer, let's say, can aim for 10% margin. That's the standard that has been achieved in the past, and that typically Professional activity should deliver more than 15% profit. And that's exactly what we are, let's say, achieving year-after-year. So there is no difference and of course, we are buying new businesses, which are contributing to grow the pie. But they will also contribute to growth and profit generation over time as we structure those businesses to expand more rapidly. We're talking about geography expansion and also, let's say, expansion of the product range. But these developments take, of course, a bit of time and we are actively working to, let's say, deliver the growth potential of those businesses.
Stanislas De Gramont: That says the size of the view is, what is it, 5% of the Professional business. So it wouldn't be a material impact anyway.
Operator: We will take the next question from line of Fraser Donlon from Berenberg.
Fraser Donlon: So I've got 3 or 4 questions. So the first was just about China. In 2024, could you maybe talk about what was price versus volume effects. Group 7, also you mentioned that you outperformed your market there. So I just wondered from the data you have, what was the decline in the market in China in 2024? The second question is about growth drivers. How do you see your innovation cost and marketing cost trending in 2025? And then the third question was on the provision. So I was -- in the cash flow, it looks like you kind of have this outback of EUR 172 million and I know the fine in France was EUR 190 million. So I wondered what's the counter amount basically there?
Stanislas De Gramont: I'll take the first one and the second one. And Olivier will take the third one. Thanks, Fraser, for your question. I think the market's been declining last year in China low-to-mid single digit depending on the categories and I think we've been doing better. I mean, we are minus 1% organic year-on-year which is somewhat better. I don't like to comment on the first 2 months of the year and I had the question earlier on, but we see the first 2 months are positive in China. I mean, we don't come out and say we are out of the wood. But I think, I mean, there's some evidence that yes, the market was bad, our performance was better and we see that it is getting a bit better and it is improving quarter-on-quarter. Your question on our growth drivers spend or investments this year is a very valid one. You're right, we have a lot of bullets in terms of new product initiatives and we expect to keep strengthening our growth drivers investments, both in product development and in product activation, advertising and others to make the best and to make the most of these growth opportunities. As I said, I mean, this stems from the conviction that this industry is a great growth industry. This stems from the conviction that consumers can take better products at higher prices and new products at higher prices, but also take some investments to engage consumers into buying those innovations. So your underlying assumption behind your question is a valid one. Olivier?
Olivier Casanova: So on the provision, as we said, we strongly, let's say, opposing the decision and we have lodged an appeal in the French court. But this will take, let's say, a couple of years to reach a conclusion from the courts. In the meantime, we have -- let's say, the fine has been issued and therefore we will have to pay the corresponding amount sometime in the second quarter of 2025. So in P&L terms, it impacts 2024 and in cash terms, it will impact 2025.
Stanislas De Gramont: Did we answer your questions?
Fraser Donlon: Yes. On the first 2. On the third one, less so, just because, yes, the question was more that I think the amount in the cash cashflow is EUR 172 million and the fine is EUR 190 million. So I just wondered what explained the difference more than where it came from.
Olivier Casanova: Sorry, the EUR 172 million, you are referring to which number? Fine in the cash flow?
Fraser Donlon: The change in divisions, EUR 172.7 million.
Olivier Casanova: Sorry, we'll take this question offline because I'm not sure which number you're referring to at. On the cashflow in '24, that's for sure on the provision side. We are taking the provision, but we have no cash disbursement related to this.
Stanislas De Gramont: Is that clear? Sorry. Let's clear that. Fraser, is that clear for you?
Olivier Casanova: Fraser doesn't have the mic anymore.
Stanislas De Gramont: Fraser, we can't hear you.
Operator: Fraser, you hear us?
Fraser Donlon: Yes, that's fine.
Stanislas De Gramont: I have a question on in-rating. What is the part of the own-retail networks and direct sales in consolidated sales? It's around 10% in the Consumer business is the answer between on and offline sales. All right. That was an easy one. Do you have other questions online?
Operator: No further question over the phone. Thank you.
Stanislas De Gramont: The emails or in writing, I don't see any other question. So I think we can close this conference here, if there is no further question. Our next meeting, help me Olivier, will be for the Q1 results.
Olivier Casanova: Yes.
Stanislas De Gramont: And the date is in the deck.
Olivier Casanova: Yes.
Stanislas De Gramont: It should be in the deck. Next meeting, where is it? The 24th of April after market close. We will publish our Q1 '25 sales and financial data. In the meanwhile, I thank you all for following this conference. I thank you all for your support and your interest in our business. And we'll see a few of you in the next forthcoming few days in Paris and London for more specific questions in roadshows. Thank you very much. Have a great day and a great result season. Thank you.
Olivier Casanova: Bye-bye. Thank you.
Operator: You may now disconnect.